Operator: Good afternoon, ladies and gentlemen, and welcome to the Morguard Real Estate Investment Trust 2024 Third Quarter Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. This call is being recorded on Thursday, October 31, 2024. I would now like to turn the conference over to Andrew Tamlin, CFO. Please go ahead.
Andrew Tamlin: Thank you, and good afternoon, everyone. My name is Andrew Tamlin, Chief Financial Officer of Morguard REIT. Welcome to the Morguard REIT's third quarter 2024 earnings conference call. I am joined this afternoon by John Ginis, Assistant Vice President of Retail Asset Management; Tom Johnston, Senior Vice President of Western Asset Management; and Todd Febbo, Vice President of Eastern Office Management. Thank you all for taking the time to join the call. Before we jump into the call, I would like to point out that our comments will mostly refer to the third quarter 2024 MD&A and financial statements, which have been posted to our website. I will refer you specifically to the cautionary language at the front of the MD&A, which would also apply to any comments that we make on this call. Overall, we are again pleased with the third quarter results, which saw strong increases in same-store net operating income growth across all asset classes, which is consistent with the levels of leasing momentum we have been seeing. Net operating income for the quarter was up almost 6% at $32.2 million as compared to $30.6 million in 2023, due primarily to improved results at the REITs in closed malls. Same asset net operating income for the third quarter increased almost 8%, due to increases in all three asset classes, but again, with a focus on improved results for the malls. Same asset net operating income for the year-to-date nine-month period was up 5.6%. Retail results continue to grow as both traffic and sales in our enclosed malls improved as we move past the pandemic. Strong demand for retail space is also evident in the improved retail leasing spreads that, we are seeing on renewals. Office results for the nine-month period saw a healthy 4% increase in same asset net operating income, due to increased leasing activity in the Trust's Alberta assets. We are pleased to see an average increase of 8% across all asset classes and leasing spreads on renewals for the nine-month period, which has helped to drive the same-store growth. Interest expense increased 5% for the quarter, to $16.8 million on a year-over-year basis. Higher interest costs on rollovers of mortgages in the last year, have been the primary reason why this has increased. The Trust has approximately 15% of its debt is variable at September 30, 2024, which has declined from 20% at the end of Q2. The Trust continues to focus on paying down its debt, which is now $123 million less than four years ago at this time. FFO for the quarter increased 7% to $14.9 million in 2024, as compared to $14 million a year ago, due to the improved results. As mentioned, our enclosed malls continue to perform and do well. We are seeing increases in sales per square foot on a year-over-year basis, in addition to the increases in leasing spreads as previously mentioned. This has led to positive results that at our enclosed malls, and a continued positive trajectory of a bounce back of the performance of these assets. During the quarter, we had minimal change in the fair value of our real estate properties as cap rates seemed to have stabilize, particularly for office assets. The REIT's PCME or operating and leasing capital reserve was established to be $25 million for the year or $18.8 million for the nine months. Actual spending was $25.3 million. We are expecting elevated capital needs above the reserve amounts, as we move further into 2024 and into 2025, due to increased leasing capital needed, particularly for office deals and in general, higher cost to move ahead and complete all capital projects. Our overall occupancy level of 90.7% at September 30, 2024, is 60 basis points higher than a year ago. This increase is being driven by a 100 basis point increase in the occupancy for our office assets. This increase in office occupancy is driven, by increased leasing activity at our Alberta assets, in particular, our suburban Calgary assets. And now for an update on our leasing efforts. In 2024, there is only approximately 100,000 square feet in the retail GLA coming due for the fourth quarter. While we feel good about the majority of this space, I do note that there are two tenants in the range of 5,000 to 10,000 square feet range that will likely be vacating. We do expect that eventually every other tenant, to renew their space and are positive about the - remain positive about the remaining leasing activity necessary for this time frame. Looking ahead to 2025, I note that we have approximately 500,000 square feet in space of Penn West Plaza coming due next year. As we have previously mentioned, we are actively working with these tenants to determine their needs beyond this date. Presently, we have renewal commitments for approximately 75% of the building, and are having good conversations with certain other tenants. This will become a multi-tenant building at that point. We do expect a decrease in net operating income of approximately $13 million to $15 million in 2025, due to the lease-up and vacancy costs as the rents in this building get reset to market rates. However, we do expect an approximately $5 million improvement in 2026 and beyond, as we move past this initial lease-up period. Beyond the Penn West Plaza space, we feel good about every other 10,000 square foot tenant coming up for renewal next year. Moving on to retail. We will be embarking on a strategic merchandising program for St. Laurent, which will see the addition of two new nationally recognized brand names being added to the tenant roster along with expansion plans for other tenants on the existing tenant role. The budgeted capital commitment is $6.4 million and has been scaled back, as compared to what had been previously announced. We are anticipating some future phasing beyond this spend, as we look to ensure a stable, sustainable and traffic-generating mix of tenants to this asset. Management has had continued ongoing discussions with the provincial government tenant of Petroleum Plaza in Edmonton, which came up for renewal on December 31, 2020, and is still an overhold. While we recently have had some better back and forth discussions, this is still going slowly and at this point, there is still no resolution to report. Turning to financing and liquidity. The Trust has $92 million in liquidity at the end of the third quarter, which is down from $98 million at the end of the second quarter and $101 million at the end of 2023. Earlier this year, the Trust executed on the sale of Heritage Towne Centre, which netted the trust $20 million in net proceeds after the settlement of debt. These proceeds went to pay down balances on the line of credit. From a financing perspective, the trust was able to renew its Pine Centre mortgage bringing in $10 million of up-financing proceeds in the second quarter. This was then converted from a variable rate mortgage, to a fixed rate mortgage being 5.82%. The fixing of this rate happened in the first week of July, and was done being via an interest rate swap. In the third quarter, there was a $5 million paydown on another mortgage as we renewed it. Looking at the rest of 2024 and into 2025, there will be minimal opportunities to procure up-financing for any upcoming mortgage renewals. Wrapping up, we are pleased with the resiliency of our assets and the improved occupancy, and correlated results for all our asset classes. We are especially pleased with the positive same asset results, we have seen so far this year. We are looking forward to continued positive leasing conversations for all of our assets. Most of our enclosed malls remain dominant in their geographical area, and our strip malls, which are largely grocery-anchored, have performed steady. Beyond our retail assets, we have high-quality office buildings in Canada's largest markets with a high degree of government office tenants. We continue to be positive about our business, and the objective of building value for our unitholders. We look forward to continuing to execute our strategy, and thank you for your continued support. We will now open the floor to questions.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Jonathan Kelcher from TD Cowen. Your line is now open.
Jonathan Kelcher: Thanks. Good afternoon. First question, Andrew, just on the balance sheet. I guess you have $140 million or so to curve in Q4 at just under 70% more than that value it's better - are you guys going to have to do any paydown on that?
Andrew Tamlin: You are coming through a bit choppy. You're talking about the mortgages coming up for renewal in the fourth quarter, Jonathan?
Jonathan Kelcher: Yes.
Andrew Tamlin: Okay. Yes, we do expect to have a paydown as we move forward into the renewal of those mortgages. We're ballparking that at around $10 million. And as you noted, the loan to value there is not great.
Jonathan Kelcher: Okay. That's fine - that works. And then just on the operations side, you talked about - what sort of spreads are you getting in enclosed malls leases or renewals?
Andrew Tamlin: Do you mind just commenting on what you're seeing for leasing renewals, John?
John Ginis: Sure. Hi Jon, John Ginis here to answer your question. So as Andrew said as an introductory comments, the enclosed malls have performed well over the course of the last two and a half years, coming really out of the spring of 2022. So leasing spreads over that time period have been really good, really due to the fact that pent-up demand has been strong, because it's so expensive to build. So inventory levels have grown across the board. So retailers have been defaulting to look at the existing stock of real estate and enclosed malls have been the beneficiary of a lot of that. So spreads have actually been really good over the course of the last two and a half years.
Jonathan Kelcher: Okay. Can you maybe quantify that a little bit or 15%, 10%, 20%, what sort of...
John Ginis: In the malls, you're probably looking at leasing spreads this year, probably closer to 5% over contracts on renewal.
Jonathan Kelcher: Okay. And then I guess more generally, for the portfolio outside Penn West obviously, but it sounds like you don't have a lot that you're too worried about on renewing. What sort of spreads do you think you're going to get across the board on both retail and office?
Andrew Tamlin: Well, John already commented on retail. I mean, office is still a pretty tough environment. Todd, do you maybe just want to comment on what you're seeing for leasing renewals on office?
Todd Febbo: Sure, Andrew. Thanks. Jonathan, so the office market really now has identified it's in a bit of a tough period where renewals are really - in a position, where we have to really work hard to get renewals to go through. We're competing with new tenancies and opportunities where they're giving tentative improvements, and allowances that are very aggressive. So our rates - we try to hold our rates as well as possible, but we do have to induce those renewals fairly often. So we try to hold value as much as possible, but it's a pretty competitive environment right now, and it is pretty tough.
Jonathan Kelcher: Okay. Thanks.
Andrew Tamlin: That's it Jonathan.
Jonathan Kelcher: Yes, that works great. I'll put it back there.
Andrew Tamlin: Okay. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. I will now turn the call back to Andrew Tamlin. Please continue.
Andrew Tamlin: Thank you, and thanks, everybody, for joining. I look forward to next quarter's call, and have a happy Halloween. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.